Robert Long - Interim CEO & CFO:
Robert Long: Hello, everyone. My name is Robert Long. I'm Chief Financial Officer and Interim Chief Executive Officer for NOVONIX. Welcome to our first quarter activities report update. After the presentation, I'll ask you to go through, look at our important notice and disclaimers. NOVONIX is a leading sustainable battery company based in the United States. We're focused on being a technology leader with a lower carbon footprint. We see a rapidly growing market for the battery industry, particularly around electronic vehicles and energy storage solutions. We have and continue to enjoy a significant amount of U.S. government support, particularly around strong policy alignment for critical minerals, onshoring of manufacturing and diversification away from China. We see ourselves as having a first-mover advantage with the progress we've made in developing our anode materials process here in Chattanooga, Tennessee, our corporate headquarters, and continuing to provide technology solutions on the cathode side of the business with our strong IP portfolio and patent generation. Our three operating structures, one is our anode materials business located in Chattanooga, Tennessee. It's poised to become the first large-scale production site dedicated to high-performance synthetic graphite. For our cathode materials, we continue to focus on the commercialization of our all-dry, zero-waste cathode process and our Battery Technology Solutions Group that was founded about 10 years ago. We focus on ultra-high precision equipment and research and development services with in-house, full-service pilot lines. Both our cathode materials business and battery technology solutions business are located in Halifax, Nova Scotia, Canada. We've had a very busy quarter. The Q1 highlights, I mean, first and foremost, although it's post-quarter, a couple of things post-quarter, we want to put a strong welcome to Michael Kronley, who's appointed our Chief Executive Officer earlier this week. Very excited for Mike's effective date to start here in Chattanooga on 19 May. Welcome, Mike. Look forward to seeing you then. Also, post-quarter announcement, we received approval and signed the purchase and sale agreement for the 182-acre parcel of land that will become our second mass production site here in Chattanooga, known as NOVONIX Enterprise South. We're very excited to have this complete, excited for the support from the local city of Chattanooga government, as well as Hamilton County and the Industrial Development Board. That's an exciting step as we plan our future here at NOVONIX. We wrapped up our equity raise in January, continued support from Phillips 66 with a $5 million investment, and wrapped up our share purchase plan for just over $20 million. So, in January, we raised an additional just over $25 million through this process. We continue to be very active with our Department of Energy MESC grant, continuing to receive funding from that through our process, which is tied directly to the continued progress in installation and commissioning of equipment here at our Riverside facility toward our initial milestone of 3,000 tons per annum in support of the supply agreements we have with Panasonic, Stellantis and PowerCo. We had a very successful annual general meeting earlier this month in Brisbane. We did release our 2024 Sustainability Report, had a cash balance at the end of March of $47.9 million. And we participated in the Trade Group around the U.S. graphite producers' trade case for China anti-dumping. There was a preliminary win in the quarter, and we expect further updates in May through this trade case. We continue to have various presentations from our experts on staff, and we entered into a license agreement with Harper International for a potential exclusive IP license agreement for technology around graphitization furnaces. We continue to focus on the on-shoring of the graphite supply chain. Producing critical minerals for this domestic supply chain is very important. As I mentioned, it's strong U.S. policy alignment. Our products meet or exceed Tier 1 EV OEM specifications through a cleaner, more efficient technology. And we are very proud of and thankful for our strategic relationships with our Tier 1 customers, be it Panasonic, PowerCo, Stellantis, our technology agreements with LG Energy Solutions and Phillips 66. They're also strategic investors behind the business. And two key strategic suppliers, Harper International for our graphitization furnace technology and Phillips 66 for certain of our raw materials. At Riverside, through these offtake agreements, we have oversold our capacity, which is great, which means we are into our future plan side of Enterprise South. The Riverside capacity, as noted in previous presentations materials is 20,000 tons per annum. The Enterprise South facility is 31,500 tons per annum, so just over 50,000 tons in total. There are current near-term plans, but we continue to focus on our larger future of as much as 150,000 tons per annum. But our clear focus is on the short term of Riverside and the first phase of Enterprise South. We continue to also focus on additional customer contracts to not only sell out our current plan volume, but future expansion as well as we continue to have exploration discussions, technology agreements and partnerships to further develop materials for other battery suppliers. Our path to commercial production at Riverside, I'm going to focus on 2025 and 2026. We continue to install and commission equipment for our 3K tons per annum production milestone and continue to work on product qualification, meeting customer milestones for mass production and hitting their specification targets. For 2026, we're targeting production startup here at the Riverside facility in Chattanooga and we'll continue to invest towards full capacity of our site to 20,000 tons per annum. Now, we are, as many others in this industry and other industries, are seeing impact from the broader macroeconomic environment. Tariffs, for instance, are impacting the price availability and timing of certain input materials such as steel and certain critical equipment required to build out our facility. We continue to closely monitor these impacts and will provide future updates as we see these broader macroeconomic matters settle into a more predictable pattern that would impact our timing of certain deliveries. As previously covered, our NOVONIX Enterprise South facility, see the site rendering on the right hand side of the page, 31,500 tons per annum facility. As I mentioned, we have secured the 182 acre parcel of land here in Chattanooga, very excited about that. And we continue to work toward the closure of the Department of Energy conditional commitment $754 million loan and pursue additional tax incentives, such as the 45X production tax credit for this facility, the Enterprise South. Our key highlights for future growth, we've covered a lot of these during this brief presentation, scaling Riverside, from a production perspective, operations to deliver our key production volumes for Panasonic, Stellantis, and PowerCo, securing our financial future, continuing to work toward and engage in future offtake agreement to secure further Tier 1 customers to sell out Enterprise South, as well as the future expansion plans that we have. And continuing to be a technology leader in the battery industry, be it from the anode side or the cathode side, and really focused on the commercialization of our cathode process with the team in Halifax is doing a great job of working toward and further developing that technology. So to wrap up, we believe our future is bright here at NOVONIX. We see a strong cash flow generation and margin profile as we continue to build out Riverside, become operational. And again, focusing on some very key critical mineral synthetic graphite, onshoring the production here in the United States and further diversification away from China will be very much a focus for us as we go forward. We thank you for your continued support and look forward to future presentations and discussions. Thank you.
Q - :